Operator: Good day, everyone. And welcome to Air Products and Chemicals First Quarter Earnings Release Conference. Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore, Vice President of Investor Relations. Please go ahead.
Simon Moore: Thank you, April. Good morning everyone. Welcome to Air Products first quarter 2019 earnings results teleconference. This is Simon Moore, Vice President of Investor Relations. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our Executive Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we'll be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on slide number two. Now I'm pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Simon, and good morning to everyone. Thank you for joining us on our call and we do appreciate your interest in Air Products. The talented, motivated and committed team of Air Products delivered another quarter of strong, safety and financial results. Our quarterly adjusted earnings per share of $1.86 represents then 19th consecutive quarter that we have reported year-over-year quarterly EPS growth. Excluding the impact of plant sale last year, our EPS was up 9%. We continue to be the safest and most profitable industrial gas company in the world with an EBITDA margin above 35%. We are in a very strong financial position and our business generates significant cash flow. This allows us to continue to invest capital into value creating projects to profitably grow the company while also continuing to return cash to our shareholders. Yesterday, we announced our 37th consecutive year of dividend increase. We are proud of our new quarterly dividend of $1.16 and I would like to stress quarterly dividend of a $1.16 per share in turn means that we will return about $1 billion in cash to our shareholders over the next year. At Air Products we have great, talented and committed team who stayed focus on serving our customers and creating value for our shareholders everyday. Now please turn to Slide 3. All of our 16,000 employees around the world are focused on safety. And as a result, we have improved our lost injury rate by 83% and recordable injury rate by 33% since 2014. On Slide 4, you can see goal which is to be the best safest, most diverse and most profitable industrial gas company in the world, providing excellent service to our customers. On a Slide 5, you can see our overall management philosophy that we have shared with you many times before. We have come a long way over the last four years. However, we continued to be focused on shareholder value, capital allocation and an empowered and decentralized organization. Now please turn to Slide 6 to see our five point strategic plan. We remained focus on sustaining our lead in safety and financial performance. We continue to see tremendous opportunities to deploy capital in value creating projects. Primarily in our onsite business. Scott will take you through the numbers but let me provide you a quick overview of our progress. Since the start of fiscal year 2018, we have spent and committed over $8 billion on exciting new growth projects. Both Scott and I remained committed to managing our debt balance to maintain our current targeted A/A2 rating. At this rating, we believe we still have about $14 billion remaining to invest. So we have already spent or committed over half of the $16 billion available over the five year period of fiscal year 2018 to fiscal year 2022. We recently announced new projects in California, Minnesota, India, Algeria and China. We have made great progress so far. And I remained very confident and I like to stress the word very confident of our ability to deploy this capital into high return industrial gas projects that will generate sign cant value for our shareholders. The fourth point of our plan is to continue to improve our 4S culture, meaning safety, simplicity, speed and self confidence to create a committed and motivated environment where our team brings their positive attitudes and open minds to work everyday. And finally we do have a higher purpose to create an inclusive and enjoyable environment for all of our people, so that everybody feels proud to innovate, solve challenges and contribute to our communities. We remained focused on executive these five points plan. Our goal is to be the best industrial gas company in the world not the biggest. Now please turn to Slide 7, where you can see our dividend history. As I said, we are proud of our 37 year record of increasing the dividend. And we are excited about giving over $1 billion to our shareholders in 2019 via dividend in cash. This direct cash return to our shareholders complements the tremendous investment opportunities that will driver Air Products growth for many years to come. On a Slide 8, you can see our gasification strategy that continues to be a key focus of our investment opportunities. Gasification is just another way to syngas that can be turned into a wide variety of products including chemicals, diesel fuel, high end olefins, polymers, hydrogen and/or power. A key benefit of gasification is that it enables environmentally friendly way to use lower value feedstocks. We have successfully supported this market over the last few years with very large air separation units providing oxygen to customers operating the gasifiers in China and Saudi Arabia. We've announced four large projects where Air Products will own and operate the gasifiers and syngas clean up and provide syngas and/or related products to our customers. The key is that these projects are consistent with our onsite business model where we don't have any raw material or product volume or price risk. The Lu'An project that we have announced before is fully on stream thanks to the continued effort of our great team in China and continues to successfully supply syngas to Lu'An for their chemical production. You see the positive impact of Lu'An in our Asia and company results this quarter and we remain confident Lu'An will deliver over $0.25 of earnings per share in fiscal year 2019. And we continue to make good progress on the other gasification projects we've announced. Now please turn to Slide 9. We remained committed to our goal of being the most profitable industrial gas company in the world as measured by each of these three metrics, and we are. Now please go to Slide 10 which is always my favorite slide, showing the over 1,000 basis points improvement in our EBITDA margin. Finally, please turn to a Slide 11. The successful execution of our strategy will allow us to deliver 13% compounded annual earnings per share growth over the last five years. Based on the midpoint of our fiscal year 2019 guidance. We will continue to execute our strategy and we believe we will deliver an increase our earnings per share by at least 10% per year on average over the coming years. Now I would like to turn the call over to Mr. Scott Crocco, our Executive Vice President and Chief Financial Officer to discuss the results in details. Scott?
Scott Crocco: Thank you very much, Seifi. Now please turn to Slide 12 for a summary of our Q1 results. As Seifi said, our team delivered another strong quarter with underlying volumes and pricing up across all three regions. Before I get into the results, as a reminder, we had a plant sale in China in the first quarter of last year. So we will help you understand our results excluding this event. Also during this quarter, we agreed with our customers in India to restructure our hydrogen supply agreement to exclude natural gas pass through and turn this into a tolling arrangement. This change has no impact on our profits but it does reduce company sales, as well as sales for our EMEA segment. So we are showing the sales impact in the other line. This change only impacted December, so we have larger impact beginning next quarter. Overall reported sales of $2.2 billion were flat, but were up 9% excluding the Jazan sale of equipment, the prior year plant sale and the India contract language change. Excluding Jazan and the plant sale, volumes grew 5% with positive base volumes up in all three regions and the full on stream of Lu'An in Asia. Sequential volumes were down 4%, primarily due to the customer planned maintenance outages and weaker seasonal volumes. Price improved in all three regions for the second consecutive quarter. Merchant pricing rose 3% which translated into an increase of 1% for the total company. Negative currency was driven by the Chinese RMB, the Euro, the Indian Rupee and the Chilean Peso. EBITDA of nearly $800 million improved 8% and was up 12% excluding the prior year plant sale. This improvement was driven by higher volumes, positive pricing and equity affiliate income partially offset by higher cost and unfavorable currency. EBITDA margin of 35.7% was up 250 basis points compared to prior year. Adjusted earnings per share of $1.86 were up 4% versus prior year. And up 9% excluding the prior year plant sale. ROCE of 12.4% improved 50 basis points versus last year, primarily due to higher profit. Please turn to Slide 13. We have non-GAAP items this quarter that totaled $0.29 per share. This included $0.10 for an asset write-off for a government enforced customer plant shutdown. We continue to negotiate the situation but do not anticipate additional charges. We also had negative $0.19 from a revised estimate of the Tax Act impact. Our first quarter adjusted continuing operation EPS of $1.86 was up $0.07 per share and up $0.15 excluding the prior year plant sale. Overall, higher volumes increased EPS by $0.13. Excluding the prior year plant sale, volume contributed $0.21. Price and raw materials taken together increased EPS by $0.05. Net cost performance with unfavorable $0.06 as productivity in Asia was offset by higher cost in Americas. Additionally, and as we've said in the past, we continue to see cost associated with our investment and capabilities in our business development, engineering, project execution and technology areas to drive growth in the future. Currency and foreign exchange was $0.04 unfavorable, primarily due to the Chinese RMB and the EURO. Equity affiliate income added $0.03 primarily due to new plant and operational strength in Mexico. The overall tax rate was $0.03 headwind versus last year, consistent with our expectations. We expect the FY2019 tax rate to be in the range of 19% to 20%. Finally, we have other items that combined for a negative $0.01 including higher non operating income offset by higher interest expense. Now please turn to Slide 14. We continue to generate strong cash flow. During the last 12 months, we generated almost $11 per share or $2.3 billion of distributable cash flow, nearly $100 million higher than fiscal year 2018. The $2.3 billion of distributable cash flow allowed us to pay over $900 million or about 40% as dividends and still have over $1.4 billion available for higher return investments in our core industrial gas business. This strong cash flow enables us to create shareholder value through increasing dividends and capital deployment. Slide 15 shows our capital deployment progress and is an update of the information we introduced last quarter. Since the start of FY2018, we've spent about $1.8 billion on M&A and growth projects, excluding maintenance capital. In addition, we've committed but yet not spend almost $6.5 billion on projects in M&A. We continue to focus on managing our debt balance to maintain our current targeted A/A2 rating. If we maintain this rating and debt level of about 3x the last 12 months EBITDA, we've over $8.5 billion available to invest today. And based on our last 12 months investable cash flow, we expect to have almost $5.5 billion over the remaining three and three quarter years. Therefore in total we have about $14 billion remaining to invest. The almost $2 billion we spent so far and the $14 billion available gives us total of almost $16 billion of total available capacity for FY2018 through FY2022. So, you can see we have spent over 10% and committed over half of our total available capacity. Now to begin the review of our business segment results, I'll turn the call back over to Seifi.
Seifi Ghasemi: Thank you, Scott. Please turn to Slide 16, Asia, where we continue to deliver strong sales and profit growth. I was just in Asia last week and remained very excited about our growth opportunities. We have an excellent and committed team running our business in Asia. At this point, we have not seen any meaningful impact on our business or projects as a result of any trade issues between the United States and China. It will be interesting, however, to see how the Lunar New Year holiday impacts the economy this coming quarter. We remained focused on our business in China and very positive on our long-term growth prospects in China. Sales were 3% lower than last year with 2% lower volume and 3% unfavorable currency, partially offset by better pricing and higher energy pass -through. Excluding the impact of plant sale last year that Scott mentioned, sales were up 16%. Again, excluding the impact of plant sale last year, volumes were up 17% with new projects primarily Lu'An driving about 10% of the increase, while the base business and small acquisitions accounted for the rest. Overall pricing for the region was up 1% versus last year, the seventh consecutive quarter of year-over-year price improvement. The Merchant business pricing was up 3% with positive pricing across all sub regions in Asia. The strong volumes and pricing plus favorable productivity increased both profits and margins. EBITDA increased by over 20% and EBITDA margin improved 920 basis points. Excluding prior year plant sale, EBITDA was up more than 30% and margins were up 470 basis points. Sequentially, profits and margins increased due to productivity and the full running rate from Lu'An. Now I'd like to turn the call back over to Scott to discuss our Americas results.
Scott Crocco: Thank you, Seifi Ghasemi. Please turn to Slide 17 for a review of our Americas results. For the quarter, sales grew 9% with both volume and price up 2%. Higher energy pass-through added 7%, more than offsetting a negative 2% currency effect. Volumes from new plants, and North America based merchant were both positive and overcame weaker Latin America volumes and customer planned maintenance outages negatively impacting hydrogen volumes. Overall, this is the eight consecutive quarter of volume improvement for the region. The impact of our pricing actions is also gaining momentum as price was up 2%, the best result in three years. Merchant pricing was up 4%. Americas EBITDA increased 4% as improved volume and price as well as higher equity affiliate income due to better results in Mexico was partially offset by increased cost. While the team remains focused on driving productivity, we continue to see higher transportation and maintenance cost. EBITDA margin excluding the impact of energy pass-through was 50 basis points. Sequentially, planned customer maintenance outages negatively impacted both hydrogen volumes and maintenance costs. Excluding the impact of energy pass-through, sequential EBITDA margin was down 130 basis points. Now I'd like to turn the call back over to Simon to discuss our other segments. Simon?
Simon Moore: Thank you, Scott. Please turn to Slide 18 for a review our EMEA results. Sales were up 2% primarily driven by 1% better volumes and 2% higher price. The 6% higher energy pass-through was offset by unfavorable currency and the contract modification in India. As Scott mentioned, this change to a tolling agreement reduces sales and volumes but has no profit impact. Price and volume were both up for the quarter as we continue to see solid demand in a merchant market and positive results from our pricing actions. Merchant price grew 4% for the quarter. We did not see any negative impact associated with the Brexit uncertainty during this quarter. EBITDA was nearly flat as positive volume and price were offset primarily by negative currency. EBITDA margin was 31.6%, down 70 basis points. Excluding the impact of higher energy pass-through, EBITDA margin was up 80 basis points primarily due to the India plant contract change. Sequentially, volumes were down on seasonality. Price was slightly positive but rounded to flat. The EBITDA decrease was primarily due to currency and a reduction in equity affiliate income following a seasonally strong fourth quarter in our Italy joint venture. Now, please turn to Slide 19 for a brief comment on our global gases segment which includes our air separation unit, sale of equipment business as well as central and industrial gas business costs. Sales and EBITDA declined due to lower project activity as we approached the conclusion of the Jazan ASU sale of equipment project. We continue to expect the Jazan ASU project on stream in phases in fiscal 2019 and as previously communicated, we expect the Jazan ASU overall to be a headwind for FY2019 versus FY2018. Now, please turn to Slide 20 for a brief comment on our corporate segment which includes our LNG business, our helium container, business and our corporate cost. Sales and profits were about flat compared to prior year with no significant change in the LNG business. We continue to be optimistic about future prospects for the LNG business but have not yet seen the industry optimism translate into firm orders. Now, I am pleased to turn the call back over to Seifi for a discussion of our outlook.
Seifi Ghasemi: Thank you, Simon. As you all know very well, we are living in a very uncertain world today. Air Products can't predict or control worldwide political or economic developments. But we do have control over our operational performance and our growth investment. And we are confident we will continue to deliver on the commitments we've made despite the world events. We have not seen any material impact on Air Products at this point from these global uncertainties as demonstrated by our results in the first quarter. Our team around the world continuous to be very excited about Air Products' future. Our five point strategic plan provides the framework to drive our success going forward. And our safety, productivity and operating performance continue to provide the foundation for our continue growth. We have the financial capacity, the opportunities and the team to successfully win key growth projects. Now please turn to Slide 21. We are all working hard everyday to be the safest, most divest and most profitable industrial gas company in the world, providing excellent service to our customers. Despite increased economic and political uncertainty, our guidance for the fiscal year 2019 remains unchanged and is in a range of $8.05 to $8.30 per share. And despite currency headwinds at midpoint, our guidance represents 10% growth over our very strong fiscal year 2018 performance. For quarter two of fiscal year 2019, our earnings per share guidance is $1.80 to $1.90 at midpoint up 8% over last year. We continue to expect our capital expenditure to be in the range of $2.3 billion to $2.5 billion for fiscal year 2019. And finally please turn to Slide 22. As always, our real competitive advantage is the commitment and motivation of the great team we have at Air Products. This is what allows us to continue to generate our superior safety and operational performance. I want to thank all of our 16,000 people around the world for their total commitment and hard work. And for embracing the opportunities in front of us with energy and spirit of working together. Now we are delighted to answer your questions.
Operator: [Operator Instructions] And we will first hear from Don Carson of Susquehanna.
DonCarson: Thank you. Good morning, Seifi. You commented that you can't control economic events obviously but could you sort of do a walk around the world just in terms of what you're seeing in your base business? Given that we are hearing that in many regions industrial production is slowing.
SeifiGhasemi: Sure. I'll start from Asia. We continue to see very good growth in countries like Korea, Taiwan, Malaysia, Indonesia, out of those countries, India, out of those countries. With respect to China, we've not seen any slowdown yet. The only thing that concerns us and we are keeping an eye on it is how is the Lunar New Year in China play out. That means that are people going to take longer shutdowns because of the way that the Chinese New Year is kind of situated calendar wise. That people would take longer weekend or longer -- that is the only thing that we are watching. And quite frankly that is one of the reasons that contrary to our usual practice, we've given you a guidance of $0.10 rather than $0.05 a spread for this quarter. So that is -- as I said we've not seen any significant slowdown in our business in China. But the Lunar New Year and how it plays can have its effect and that is why we didn't, you can say that you are conservative in our guidance for the quarter. The rest of Asia is doing very well as I said. When we come in Europe, Europe is flat. Again, the concern that we have is what all of the turmoil with respect to Brexit. What would be the effect in the next few months on the pound exchange rate and also the business in -- our business United Kingdom? As you know, we've a big business there. So that is again another reason why we were conservative in our estimate for the second quarter. In the United States, things have not changed since we've talked last time. There is a slowdown of industrial production but we do not see any material impact on our results and that is why we are not changing our overall estimate for the year. We do expect a stronger second half than the first half because of some of the projects and pricing actions that we've taken and that are why we remain very confident about the guidance that we've given for the year. In addition, I also have to add that things remain very, very negative in Latin America but that's not a big part of our business.
DonCarson: Okay. And then a quick follow up. I noticed on Slide 13, your price cost gap narrow considerably was only $0.01 negative delta versus $0.14 last quarter. So how are you able to narrow that delta specifically on the cost side where it was only $0.06 drag this quarter versus $0.16 last quarter?
SeifiGhasemi: Well, as you recall in the last call I was very transparent about my dissatisfaction with our cost performance. So, obviously, everybody took that to heart and we've worked very hard on productivity to improve our cost position. And we hope to see that number improving as we go forward. So we've taken action, Don.
Operator: And next question from Christopher Parkinson of Credit Suisse.
ChristopherParkinson: Thank you. Given the circumstances your result in Asia was pretty solid. Can you just parse out the key volume drivers outside of Lu'An, as well as your intermediate term expectations post the New Year, just that and quick use on the merchant market operate et cetera would be helpful? Thank you.
SeifiGhasemi: Good morning, Chris. Sure. Obviously, Lu'An was about 10% of the growth. But the rest of the growth we are reporting Asia results. The rest of the growth is coming from as I said, China. Despite what everybody says a slowdown or slowdown but they are growing at 6.6%. So we see the benefit of that in our merchant business. But in addition as I said, countries like Korea, Taiwan, Indonesia, Malaysia, they are doing very well and the contributed to positive results.
ScottCrocco: If I could just add also that this is also an area that we saw good cost improvement as Seifi mentioned earlier. Nice cost performance in the quarter too.
ChristopherParkinson: Thank you, that's helpful. Perfect. And then also just --you mentioned plant or refinery outages in North America affecting results but this was also seen last year. So regarding the year-over-year comp, can you just comment of the planned downtime was in line with your initial expectation. And then also just what are your updated views on hydrogen demand intermediate to long term in the US, global, et cetera? Thank you.
SeifiGhasemi: Sure. First of all, the plant outages totally in line with expectations. These are -- as we grow our business and we've more and more hydrogen plants, obviously, the turnaround -- there are more turnarounds to deal with. But there is nothing out of line; they are all in accordance with our expectation. There is nothing unexpected has happened. With respect to hydrogen demand, obviously, significant driver for our hydrogen demand in the US is how many miles people drive and the gasoline demand. But that has continues to remain stable. As per the future, as you know, we have announced two new hydrogen plants that we are going to build, liquid hydrogen plants. We see significant growth opportunities for liquid hydrogen and in terms of so called gases hydrogen there are projects being discussed in the United States, in the Gulf Course and other areas that would require significant amount of hydrogen for the production of chemicals and we will obviously participate on that. So, overall, we remain very positive.
Operator: Next we will hear from Robert Koort of Goldman Sachs.
RobertKoort: Thanks very much, good morning. It strikes me that over the last couple of years you moved towards maybe de-risking and improving the stability of the organization by some of the divestures you made and then enhancing some of these large gasification projects, and yet your multiple that continues to go on the wrong direction. So I am wondering can you help frame through your competitive advantage and what it means to have such a significant onsite presence and sort of how do you see that developing and what it means to the volatility of your business.
SeifiGhasemi: Bob, first of all, thank you for your comments. We definitely have moved into a direction of stabilizing the business, getting the company focused on the right business and significantly enhancing our onsite presence because that is a much more stable business. And we have changed our business model to get into syngas production where we see significant opportunity. We do have the lot of cash on hand. We have a very strong balance sheet. And with the acquisition of the technologies from Shell and GE and others, we are in a very strong positive to be the leader in gasification. And there are many, many, many opportunities. As for the why our multiple, I am not selling a product stock. I mean my job is to articulate our strategy and tell our investors what we are doing, and then they will decide the multiples. I think the market is under estimating our ability to deploy the cash. And that I also understand that there is a lot of concern about gasification. It's a new area. There was a lot of concern when we announced Lu'An about this. Do you know how to run gasifiers and all of that? I am hoping that as we go forward, we demonstrate that we can run these facilities and as we sign more, large deals which will significantly strengthen our portfolio that the investors will give us due consideration in time. As I said my job is not to argue about the multiple. My job is to explain and articulate our strategy and I think in time the investors will see where we are as compared to our competitors.
RobertKoort: I appreciate that. Can I ask you very briefly on the Shell technology? You guys have mentioned applying that maybe to help solve some of high sulfur residue streams as companies try to adhere to the IMO2020 standards. And 2020 is pretty close, is that -- something that looks like there are some development there or is it getting pushed out? Is this a meaningful opportunity or just something maybe on the periphery for that business?
SeifiGhasemi: Bob, it is a meaningful opportunity. The best example of that is the $8 billion project that we are doing in Saudi Arabia. That is all about taking the bottom of the refinery and gasifying get an upgrading it because they wouldn't be able to sell that to the market for fueling the ships. So that is the best example. This opportunity is great. There is a great opportunity. The issue is that a lot of people are not taking action because they are hoping that the implementation of IMO2020 will be delayed. And as I am sure you know there is lot of lobbying going on by some of the industry in the United States to that. But in the long term that is going to be a good -- significant opportunity, yes.
Operator: And next we will hear from Jeff Zekauskas of JPMorgan.
JeffZekauskas: Thanks very much, good morning. In the different slides you spoke about merchant pricing being 3% in the Americas, 3% in Asia, 4% in EMEA. But the actual price in the slides for each of the geographic segment is lower. It's 2% in the Americas, 1% in Asia and 2% in Europe. What accounts for the difference? What's pushing down that price level? And in the overall slide that describes price it seems that costs are going up faster than price. Is that the right comparison? Or is there a real price benefit and the costs are more internal or having to do turnarounds or something like that?
SeifiGhasemi: I'll have Scott answer the question that you had asked. But on the cost side, the cost side is related to increasing our capabilities. But I'd like Scott to answer your first question. Go ahead, Scott.
ScottCrocco: Sure. Good morning, Jeff. Thanks for the question. So one of the things we introduced in the last quarter or so is what we refer to as merchant-on-merchant price increase and price change. So, as you know, Air Products has a large percentage of our portfolio, 50% in onsite. So when we go through the slides we will do price over the entire business of which two third or so in the US is tonnage. So we felt that's the 1% for AP, and 1% for Asia and 2% Americas and 2% EMEA. That's over the total portfolio of those businesses. What we thought would be helpful is to also additionally provide you with a merchant-on-merchant that looks at the price change and in this case increase so Air Products, 3%, Asia 3%, 4% for Americas, EMEA. The price increase on the merchant business. So we provide a little bit more insight as to what's going on that portion of the business as opposed to spread across the entire company. Hopefully, I was clear on that.
SeifiGhasemi: Is that clear, Jeff?
JeffZekauskas: Yes. That's clear. And then so my follow up, is it the case that your pension cost this year will drop about $65 million from $90 million to $25 million or so? And when I looked at your income statement, the non controlling interest was $9.5 million I think versus $6.9 million last year. And I would have thought the non controlling interest number would have been larger given the Lu'An has now on stream and is quite profitable. Is there something eccentric in non controlling interest number? And what are --
SeifiGhasemi: Jeff, Scott can address those things? We have talked about that. He has already just
ScottCrocco: Sure. So first on pension. We expect to have a little bit of a drop this year versus last year on pension maybe for the year total pension expense. And so let me put it that way. Maybe it's like $30 million or so from an expense perspective. And by the way I know, Jeff, you've always interested in the cash flow statement. On contribution for the pension should be in the same line. So we think non cash expense versus contribution on the pensions to be about wash and call it $30 million and change. Then in terms of non-controlling interest. You are right that Lu'An was the biggest part of it, recognizing that we have, I think it was in the third quarter last year, we had a pure air adjustment that was a little bit of an anomaly because of the way that that arrangement was cancelled. I think in going forward we would expect to see, by the way the other, we also have a venture of the minority position over in Asia as well. So that's going to move around the non-controlling interest, but the biggest item in there is going to be Lu'An going forward.
JeffZekauskas: Was pension expense $90 million last year?
ScottCrocco: Including a bunch of the non-GAAP stuff that we had in there, I think, it was up about that that level. My comments here around kind of the ongoing underlying to be, it was a little bit lower than that, but and all in was with something that order.
Operator: Next we'll hear from Vincent Andrews of Morgan Stanley.
VincentAndrews: Thank you and good morning, everyone. If I could just ask on the price-cost equation. As it was mentioned before you're down to sort of a negative $0.01 in the fiscal first quarter. Should we anticipate as we move to the balance of the year that price is going to exceed cost inflation or is it going to stay kind of the way things is?
SeifiGhasemi: That is our goal, Vincent.
VincentAndrews: Do you think you're going to achieve it?
SeifiGhasemi: We always want to see price increase and cost increase. That is our goal, yes.
VincentAndrews: Okay and if I could ask you on the dividend, and I'll preface this by noting that you have almost a 3% yield and your a dividend aristocrat, but the increase this year was a lot less than the last couple of years. And it's less than sort of the EPS growth that you're anticipating. So I'm just wondering if there's any particular reason the dividend increase wasn't larger.
SeifiGhasemi: Yes. We had promised the investors and we keep our promise that our dividends will be 2.5% to 3% of the stock price. And we right now increase the dividend to be at around 3%. So if next quarter the stock price goes up significantly, which obviously we hope so then we will increase the dividend. That is the guiding principle.
Operator: Steve Byrne of Bank of America.
SteveByrne: Yes, thank you. Is it reasonable to assume that the incremental EBITDA margin on Lu'An is well above 50% and would it have been even better if you had built the gasifier rather than buying it?
SeifiGhasemi: Well, Steve, how do you want me to answer that question without giving a lot of information to our competitors which is not necessary? Obviously, you are very right that the EBITDA margin on that business is over 50%. Actually a lot more than 50%, yes.
SteveByrne: And, Seifi, what drives the attractiveness of the gasifier that you have the intellectual property that gives you an edge?
SeifiGhasemi: Yes, absolutely. The fact that we owned the technology. We have inherited the people who know what the hell they are doing. And we were able to take over those gasifiers and run them very efficiently, run more efficiently than they were otherwise run. And that is why the profitability is higher because we are creating value for our partners. Because we are running that plant very efficiently and obviously as a result we are seeing the good results. Yes, owning the technology, owning the Shell technology is by far the biggest competitive advantage that we have. And also the GE technology and that is putting us in it two advantages. Number one, we know what they are doing and number two, owning these technologies is giving us visibility to projects way before everybody knows about it because if somebody is thinking about the project 10 years from now, the first thing they do as you know in the FEED study and all of that, they select the technology. Therefore, they talk to us, they before they even have a project or announce a project or issue a request for quotation. So we end up having a three, four, five year head start on our competitors.
SteveByrne: And this plant that was a forced shutdown in China by the government. Should we assume that was an older plant that didn't have a take or pay contract?
SeifiGhasemi: That plant, it was shutdown has nothing to do with gasification as you know. It's steel plant. It's a plant that they have been supplying oxygen to since 2005 and that plant was in middle of a city. So it is not a surprise that in time the city grows and therefore that plant either has to move or get shutdown. So right now that plant has been shutdown. We did have take or pay contract on that. But the take or pay contract, obviously, at the end of the day the plant is shutdown as force majeure, and you have to deal with that. But that's not a material part of our business. And in the future do we have other plants who are in the middle of cities that might be shutdown, smaller plant that can happen too. So nothing surprise at all.
Operator: Next we will hear from Kevin McCarthy of Vertical Research Partners.
KevinMcCarthy: Yes, good morning. Seifi, you indicated that you are very confident in your ability to deploy capital into high return projects. Can you elaborate on that? Is it the case that you got such a target rich environment that even if macroeconomics don't cooperate you got plenty to choose from on the menu? And then second, can you give us an update on the Yankuang gasification project? And what the timing of that looks like these days.
SeifiGhasemi: Good morning, Kevin. Thank you very much for your good questions. Number one, with respect to opportunities. The opportunities that we are working on, these gasification project, they are not driven by the economy. They are driven by the strategic decision by countries like China, India, Indonesia, Uzbekistan and all of these other places to become independent of oil. They have the coal resources and they want to convert that to chemicals. So as a result, the reason I am very confident is because currently we are working on more than 52 of these projects. So if they all materialize, it would require $70 billion of investments. So we are -- we've positioned ourselves properly. We've chosen the technology. We have the people and we are well positioned and we have the cash to invest. And therefore, that is what makes me confident. And whatever happens to the economy, I think these countries will need to do these projects in order to become independent strategically from oil. So that -- with respect to the Yankuang project. That project is a huge project. It's about $12 million project. And we are working on that with Yankuang and trying to develop that. There are obviously environmental issues, investment issues and all of that. And we expect that project to be on a stream somewhere in around 2022. And we will give you an update as we go forward.
KevinMcCarthy: Okay. And secondly, if I may, can you talk about the modification of your contract in India? I imagined if you are moving to a tolling arrangement we should expect your sales to decline and your margins to rise. So that there is no net profit impact to your EMEA segment. I guess, a; is that correct? And b; if possible, maybe you can comment on some of those facts in terms of magnitude?
SeifiGhasemi: Well, first of all, you are analyzing absolutely correctly that when it becomes tolling change then the price of natural gas is not put into our sales. And therefore it will reduce our sales but improve our margin with no effect on the bottom line. The reason that has happened is that our partner in India had founded that if they do it that way it is beneficial to them from a tax point of view. And obviously from our point of view we still get the same BFC, it doesn't change. But in terms of the optics for the results, you are right. It decreases sales and increases their margins. Is that okay?
Operator: P. J. Juvekar of Citi has our next question.
P.J.Juvekar: Yes, hi, good morning. So, Seifi, you got good merchant-on-merchant pricing. Can you just review merchant utilization rate around the world? I think last year you had mention that China utilization was close to 90%. Is that still the case? And this good pricing that you saw, which end markets or which industries were you able to raise prices to?
SeifiGhasemi: P J, first of all, if I may just go around the world. China, if you take all of China, their utilization rate is only about 56%-57%. But there are -- China is a very big country. There are pockets in China that there our utilization is about 90%-92% and that is what is giving us the pricing power. Utilization rates in Europe are still at around 75%-76% and the same thing is in the United States. But again even in Europe or in the US, there are pockets, as you know, industrial gases, the merchant business is very, very local. So we can be having another capacity in California but no capacity in Pennsylvania. So, we obviously analyze these things in detail and take action as appropriate. With respect to the end market, there is no specific end market that is driving this. It is just utilization of the plant in the specific geography that you are located.
P.J.Juvekar: Okay, thank you. And then secondly, Seifi, you haven't been buying back stock. And I know the preference is to invest in high return projects. But why not buyback some stock which gives you flexibility to take advantage of any market dislocation?
SeifiGhasemi: We are not buying stock and we don't plan to buy stock because we think, if you do the math, that you can do better than I do, if you have projects like Lu'An to invest, the return for the investors is a lot higher than us going and wasting that cash on giving money to a bunch of people who are going to go away and will not be a longer-term shareholder. So it is a very economic decision. If I think people who buy stock are people who have run out of steam in terms of growth. And therefore the only way that they can make shareholders happy is to announce stock buyback program. We have the opportunity to invest our money in projects that in the long term will generate or have a lot more value for our shareholders than buying back stock. And, as you know, I am a big shareholder and I am very passionate about this because I want to make money -- more money in the long term, not to get cash this afternoon and then disappear.
Operator: Next we will hear from Duffy Fischer of Barclays.
DuffyFischer: Yes, good morning, guys. Question just on Lu'An. Now that it is up and running for three months, how is it running? Number one. What lessons learned? Have you had from that? And then second one is just have you closed the GE deal yet?
SeifiGhasemi: So your first question and I don't want to jinx ourselves. So I am going to be knocking on with it little bit. The Lu'An project, the operation is going very well. All four gasifiers are running at capacity. Our customer has the need for the product. Their business is doing very well. They are taking all of the syngas and converting into chemicals and selling it and making money. So up to now it has been very positive. I am very, very, very proud of our team down there. We have something like 400 people working on this gasifier and running it everyday. And we have, as I've always been telling investors we know how to run process plants. If you run a hydrogen plant, you should be able to run a gasifier. But I have to say that the acquisition of the Shell technology and to having those people on our team has significantly helped us to be able to do that. So from that point of view it is -- we are doing very well. With respect to the GE, we have closed the GE, yes. And we are in the process of -- yes, thank you very much.
Operator: Next we'll hear from Jim Sheehan of SunTrust.
JimSheehan: Thank you, good morning. What is your outlook for the LNG business in the second half of the year, please?
SeifiGhasemi: Jim, as you know, these -- our LNG business is the kind of business that you either get a big contract or you don't get a big contract. So I don't want to make too much of a prediction here but the signs are positive. That means that it is possible that we would be awarded some additional contracts. And that is one of the reasons that maybe we are little bit more optimistic about confirming our results. But these things are not done until they are done. There are a lot of projects on the drawing board as you know. And if anything happens we will obviously make appropriate announcement. But I have to say that I am more optimistic today than I was six months ago.
JimSheehan: Great. And in your full year guidance what are you guys assuming for the corporate segment, please?
SeifiGhasemi: In terms of what Jim?
JimSheehan: In terms of your incremental change from fiscal 2018 to 2019. Just trying to get some color on how to model the corporate segment.
SeifiGhasemi: Well, I think the corporate segment in terms of the cost of running the companies on a day to day basis are finance department, legal department, IT department and all of that. You know how we operate. You shouldn't expect much of a change there. I mean that is going to be steady with no significant increases. As far as any kind of plant sale that we might have that would show up in that sector or our LNG business and all of that, I think for your model assume flat and then anything that happens would be good news.
Operator: Our next question comes from John Roberts of UBS.
JohnRoberts: Thank you. Scott, for the $6.3 billion in commitments on page 15 or the approximate $7 billion on page 21 whichever one you want. Could you remind us roughly of the pace at which the cash will go out of the door and gets the commitment?
ScottCrocco: It's going to come, Hi, John, good morning. It's going to be coming in different method, so to speak, right. So if it is in -- if it is an asset buyback and that is going to come in big check. If it is a organic project, these are large particularly with big gasification projects the spending curve can be three, four years and so it will lumpy so to speak driven by the nature of the project itself. Whether it's an asset purchase or an organic.
SeifiGhasemi: But as a rule of thumb, I think you should assume, on this year we are saying we will spend about $2.5 billion. I think you should assume that in the next few years that number will go to about $3.5 billion every year.
JohnRoberts: Thank you. That's helpful. And then on Slide 13, the $0.06 unfavorable cost, Scott talked about lot things like technology, engineering, business development. Is that primarily in the Americas gases segment or is significant part of that over and global gases as well?
SeifiGhasemi: It is cost increases related to -- when we buy Shell technology, when we buy the technology GE; we get a lot of people. Our pursuing-- as I told you more than 50 gasification projects. So that's another almost a 100 people that you have to put in there in order to develop these projects. Those are the cost in terms of the section where you see that is, Scott --
ScottCrocco: That will be in corporate and then spread around depending on the nature of these costs that we are building our capability. But on the other item is the maintenance. The planned customer outages, so that's in that number as well and that's largely an Americas comments with the planned hike returns.
Operator: Next we will hear from John McNulty of BMO Capital Markets.
JohnMcNulty: Yes, good morning. Thanks for taking my question. Seifi, you highlight a big backlog or at least potential backlog on gasification projects. And I know in the past you've targeted 10% returns on capital. As you become more evidently the kind of partner of choice you've got greater experience doing this. You've built up the technology. Do you see risk to the upside in terms of how to think about the returns on capital for future projects and how should we be thinking about?
SeifiGhasemi: Well, John, we have said that our minimum requirement is 10%, but if we can get a project at 25% we will do that. So I think your analysis is exactly correct that as we become the partner of choice, we should be able to command a higher price. And obviously there is other dynamic is that if our competitors are announcing $6 billion share buyback then I assume they don't have the money to compete in this project which would put us in a better position.
Operator: David Begleiter with Deutsche Bank.
DavidBegleiter: Thank you, good morning. Seifi, just on the merchant pricing, the Americas with the plus 4% are you seeing a competitor support for the pricing and has there been any impact from the Linde merger on pricing dynamics in the industry?
SeifiGhasemi: Well, first of all, the Linde merger is not close there, David, as you know. So there is certainly no impact from that. But, as you know, in general competitors pricing and so on, I have my lawyer looking at me and saying don't say anything considering the nature of the industry. So I apologize for not being able to comment on that. I shouldn't comment on that.
DavidBegleiter: Understood. And just on the guidance for you, Seifi, what do you need to do or see happen to get to the upper half of the guidance range for this year?
SeifiGhasemi: I think what would help us is a Lunar New Year shutdown in China which is normal rather than being longer. A stabilization of the discussions on Brexit and making sure that our business in UK doesn't suffer. And a better hopefully a few orders for the LNG that would help too.
Operator: Next we'll hear from Mike Sison of KeyBanc.
MikeSison: Hey, guys, nice quarter. You had mentioned that you feel confident Air Products can continue to grow at 10% annually for some time. Then you've talked positive about gasification. Is there a way to help us understand what of that 10% how much gasification can support in terms of growth over the next couple years?
SeifiGhasemi: Well, if all of the projects that we are talking about gasification actually materialized, and we deploy the capital that we are talking about, we will grow a lot better than 10%. If we look at the conventional industrial gas business worldwide and consider that that business will grow with the GDP worldwide, therefore you can't expect much more than 3% to 4% growth every year. So when we say 10%, we expect at least 6% from gasification and larger projects. But as I said, if we can actually implement and deploy the capital and have 10 more projects like Lu'An then we will grow a lot better than 10%.
MikeSison: Got it and then as a quick follow-up, if you had your choice which you probably do and you think about the capital deployment, is it preferable to spend all the capital on gasification versus historical ASUs and maybe talk about that concept going forward?
SeifiGhasemi: Well, I'm glad you asked the question. We remain totally committed to our core business. We are going to invest as much as we possibly can in our merchant business, in our standard gas generators, our hydrogen business and all of that. So the gasification is not taking anything away from that. We will be as aggressive and as you know enthusiastic in investing in our core business. Gasification is on top of that but the gasification is not going to take away from our focus on our normal business. We are not going to concede any market share anywhere in the world in our LOX/LIN, LAR business, our helium business, our hydrogen business. And we will invest in those businesses as appropriate. All we are saying is that those businesses fundamentally are not going to grow much better than GDP. And therefore you need to have another vehicle in order to meet our ambitious goal of delivering more than 10%. And we have found that vehicle to be gasification and very large projects.
Operator: Next we'll hear from Mike Harrison of Seaport Global Securities.
MikeHarrison: Hi, good morning. Seifi, we've talked a little bit about the merchant business and you talked a little bit about utilization. I was wondering if you can talk about your approach to merchant capacity in North America. We've seen you announce some merchant ASUs in Ohio, New York, Minnesota. Any details on which end markets or customer dynamics are driving the need for more capacity? And what kind of utilization rates would you expect on those plants once they get up and running?
SeifiGhasemi: Well, Mike, that's a very good question. We remain committed as we has always been to make sure that our customers have access to competitive product. So the way we approach this thing is that, I mean, this is our business everyday. When we look at that area and we see that we are operating at 90% and the market is growing, we obviously go on build the merchant plant in order to make sure we can supply the market. And then when we see an area in like in Minnesota where there is a really very few competitors competing in there, and the market is growing then it is appropriate for us to go and build a plant. So our approach is focused on meeting the demands of our customers and making sure they have access to product.
MikeHarrison: All right. And then I was also hoping to get an update on the helium market. I know that you recently announced an agreement with Sonatrach in Algeria. Any comments on the growth or pricing dynamics you're seeing in helium.
SeifiGhasemi: Helium is obviously a very rare commodity. There are not that many places where you can produce it. And we are the largest helium producer in the world. So we are very committed again to meet the demands of our customers. And therefore we develop helium opportunities anywhere in the world that we can possibly do. We have been operating in Algeria for many years. And we saw an opportunity to be able to expand on our operation there and to make helium available to our customers. We are very proud that right now as we speak we are the only helium producer in the world who has not declared force majeure. I think we are very committed on that. We always make sure that we have supply for our customers. So the helium business is growing. There is significant amount of rocket launches that require helium. A significant amount of growth in medical use for MRI machines and all of that. And Air Products as the leader of the helium business worldwide is committed to make sure that we have product for our customers.
Operator: Lauren Alexander of Jefferies has our next question.
LaurenAlexander: Good morning. Just a quick one. Can you give a sense for how much your backlog has gone up excluding the gasification projects? Given the number of announcements that were made entering the quarter.
SeifiGhasemi: During a quarter it hasn't gone up that much because we haven't announced too many projects, but overall the backlog for our standard business is somewhere in the order of about $1.5 billion, and that hasn't changed significantly.
LaurenAlexander: Okay and for the commitments on the gasification side, are those at this point basically fixed or will you have some wiggle room in terms of project financing and other ways to maybe reduce the capital investment or the capital outlay by your products for the stakes?
SeifiGhasemi: We look at those --that issue on a project-by-project basis in terms of where it is and all of that. So, as you know, when we announced the Jazan, the big project in Saudi Arabia, we said that that project is going to be order of magnitude more than $8 billion and on that front we are going to use 40% equity and 60% project finance. So it's very much driven by the specific project and the nature of the project. But when it comes to a project like Jiutai in China, there the capital requirement is $700 million. We do that 100% corporate finance. It's very specific project driven. We have time for another question. We have significantly run over time. So can we one other question, please.
Operator: Absolutely. Our final question for today will come from Jonas Oxgaard of Bernstein.
JonasOxgaard: Good morning, guys.
SeifiGhasemi: Hi. How are you?
JonasOxgaard: Oh, living the dream, everyday.
SeifiGhasemi: That's great. That's great. That's a good positive attitude.
JonasOxgaard: Thank you. So to go from that positive attitude to less positive question perhaps. If you can turn to that plant in China that you closed down. And whether the take or pay was voided by a force majeure. In the past when you talked about the gasification plants and the potential risks of China closing down gasification because of coal usage. The answer has always been the take or pays are there to protect us. So was there something unique about this particular one? Or how should I think about this in the grander context?
SeifiGhasemi: I think you shouldn't -- the two are not comparable. I mean the reason that the plant, that Gufang plant was shutdown was because it was in the middle of the city. The city is growing and obviously the steel plant is an older steel plant and it is not equipped with all of the latest technology. And it didn't have the money to do that. So the government shut them down. The gasification plants that we are building are not in populated areas. They are significant projects which are related through significant $10 billion, $12 billion investment for chemical production. And the possibility of those things being shutdown -- they are actually being built because they are environmentally friendly. So there is really kind of no comparison between the two.
JonasOxgaard: Okay. But if they were to be shutdown then the take or pays would be voided?
SeifiGhasemi: Well, my friend it's just like saying that if there is war in Venezuela they come and take over your plants like it has happened to Exxon before. So those are the kind of things that -- force majeure works both ways because we want to be protected that in case the government, we have a plant supplying steel plant and something goes wrong with our plant and they come and say, you can't operate. We can be liable to the customers to kind of supply them oxygen because we are under force majeure situation. Or when air compressor blows up in a plant which we have had situations like that, we declare force majeure so that we don't get sued by the customer for not supplying them oxygen to run their, or hydrogen to run their refineries. So that work both ways. So that's kind of standard in the contract.
JonasOxgaard: Okay, thank you. End of Q&A
Seifi Ghasemi: Okay. With that, I'd like to thank everybody for being on the call. Thanks for taking time from your very busy schedule. And we appreciate your interest in our company. Thank you for the very good questions that allow us to kind of articulate our results. And we look forward to talking to you in next quarter with hopefully better results. Thank you very much.
Operator: That does conclude today's conference. Thank you all for your participation. You may now disconnect.